Operator: Good morning, ladies and gentlemen, welcome to the Generation Income Properties Fourth Quarter and Fiscal Year 2021 Earnings Call. At this time, all lines have been placed in a list only mode. Please note that today's conference call is being recorded. Replay information is included on March 17th press release, which can be found on the Investor Relations section of company's website at gipreit.com, along with the fourth quarter and fiscal year earnings release.  I'll now turn the conference over to the company's Investor Relations representative, Mary Jensen. Mary, please go ahead. 
Mary Jensen : Thank you, Operator. Good morning, everyone. I’m joined this morning by David Sobelman, Chief Executive Officer; and Allison Davies, Chief Financial Officer. David will provide an overview of the company's growth strategy, business and capital markets activity, 2021 milestones and the 2022 outlook. Allison will review our quarterly and year-end financial results and balance sheet.  Today's conference call includes forward looking statements and projections that reflect the company's current views with respect to among other things, our pipeline and planned acquisition activity, anticipated market size, expected consolidation in the industry, future events and financial performance.  These forward looking statements are subject to the inherent uncertainties in predicting future results and conditions. Certain factors could cause actual results to differ materially from those projected in these forward looking statements, new risks and uncertainties arise over time, and it is not possible for the company to predict those events or how they may affect it. Therefore you should not place undue reliance on these forward-looking statements.  During this call, we will refer to FFO, core FFO, AFFO and core AFFO, which are each non-GAAP financial measures. Reconciliations and net income to the most comparable GAAP measures to these non-GAAP measures can be found in our earnings release or in the investor presentation available on our website. We ask that you refer to our most recent filings with the SEC for important factors that could cause actual results to differ materially from these forward looking statements and projections including the risk factors included in our form 10-K for the 2021 fiscal year to be filed with the SEC.  As such it is important to note that management's comments include time sensitive information that may or may not be accurate as of today's date Friday, March 18th, 2022. Following management prepared remarks, the call will be open for your questions. We request that you ask only one question and one follow-up to allow ample time for everyone to ask questions. If time permits, we will welcome you to re-queue, to ask additional questions.  With that, I will now turn the call over to our Chief Executive Officer, David Sobelman. 
David Sobelman : Thank you, Mary. And welcome to our earnings call. For those of you not familiar with our company, Generation Income Properties is an internally managed real estate corporation formed in 2015 to opportunistically acquire and own retail, office, and industrial net lease properties located in densely populated submarkets with a focus on investment grade tenants. We intend to elect to be taxed as a real estate investment trust.  We currently have 13 assets in our portfolio across eight states and the district of Columbia. We specialize in underwriting, both the credit worthiness of our tenants and the underlying fundamentals of the real estate. In particular, we focus primarily on single tenant net lease properties across multiple asset classes that have a high probability of either maintaining their current tenancy or re-tenanting the asset in future years. Further, our acquisition strategy targets occupied commercial properties with lease durations under 10 years and tenants with a high credit profile. We believe this strategy should provide GIPR with an opportunity to generate above market returns.  Stabilized assets with shorter lease terms to investment grade tenants are attractive because our comprehensive and detailed underwriting process, which allows us to uncover opportunities that may be overlooked by large institutional investors. We focus on this segment because we believe shorter lease terms provide flexibility to realize attractive rental rate increases, higher value and stabilized assets and resilience to economic fluctuations. This past year was nothing short of metamorphic for Generation Income Properties. With your continued support, the GIPR team achieved transformational milestones that have positioned us to pursue significant growth.  Key to these achievements and to our continued growth will be our team's adherence to our core investment principles. High credit quality tenants, shorter-term and flexible lease durations as well as favorable underlying real estate fundamentals. These investment principles driven by our underlying corporate values led to notable accomplishments this past year in our capital structure, our portfolio and our team. It is important for me to outline these achievements to set the stage for our direction in 2022. We believe internal growth combined with external growth initiatives will be a catalyst to achieving our goals. One of the initial steps to achieving this is access to capital.  First, we had a successful on underwritten public offering in September 2021 that generated gross proceeds of approximately $16.5 million, including a partial over-allotment. This was of course, a major milestone for all stakeholders of GIPR. It broadened our access to capital and created greater liquidity, something we have been discussing since our inception.  Second, our relationship with American Momentum Bank included a $25 million commitment letter to fund individual acquisitions. Utilizing this debt source allows us to close on properties more efficiently by avoiding the traditional channels of approval that typically come with most property level financing. This financing source is a direct reflection of our strong relationship with American Momentum Bank, the company's original lender since 2017.  During 2021, we also remain focused on strengthening our balance sheet by lowering our cost of debt through refinancing assets at lower interest rates with our current lenders to mirror the shift in market rates. In 2022, we will remain focused on lowering our overall debt and strengthening our balance sheet.  Moving on to our operating portfolio which has remained tremendously resilient. We continue to collect 100% of our rents, and have done so since our inception, including the years through the ongoing headwinds from the pandemic. In fact, none of our tenants have asked for rent abatements or workouts, which we believe is a testament to our underwriting abilities. All but one of our 11 tenants or their parent companies, have investment grade or equivalent credit ratings.  With that said, we have one tenant with a BB plus credit rating from Standard & Poor’s, which is one step below investment grade. However, this tenant shares trade on NASDAQ with a market capitalization of approximately $1.8 billion. With that said, we monitor all of our tenant’s credit quality before and during our ownership in order to make necessary changes to our port portfolio due to altering dynamics within a particular company. We also extended one lease in Virginia with Maersk Shipping, who had a BBB plus credit rating.  We found that regular and direct communication with our tenants, both at the corporate level as well as the local level, allows us to glean detailed information on their operating trends and stay ahead of any potential challenges while also positioning GIPR as a better partner. Our business strategy is twofold: One, active property management, which includes dedicated tenant relations, and two maximize the value of the underlying real estate through diligent asset management.  This is exemplified by the value of our ongoing asset analyses. Through this process, we identified shifting demographics and market dynamics that revealed an opportunity to recycle capital. In the third quarter of 2021, we sold a 15,000 square foot Walgreens located in Cocoa, Florida for a gain of approximately $900,000. We will use the proceeds to fund investments that are better aligned with our current investment strategy. This sale proved out our thesis of acquiring real estate with attractive underlying supply and demand fundamentals, strong credit tenants, and shorter term leases to drive all net asset value.  Through the second half of 2021 and into the new-year, GIPR has continued to execute on its external growth strategy. Since our September equity offering, we have acquired four properties at approximately $17.3 million, including one property that was part of an UPREIT transaction at an average, going in year one yield of 7.7%.  As of today, GIPR’s gross asset value, including the tenant in common, stands at approximately $61 million based on acquisition costs. Since December 31, we have closed on another three properties, which increase GIPR's gross asset value by 26%. We continue to target single tenant real estate asset in markets and submarkets that display strong economic and socioeconomic drivers that help our tenants’ businesses thrive. With our in-house tenant relations and asset management capabilities. We are confident in our investment thesis, which we believe will generate long term value.  Last quarter, we said that we were on track to have the majority of the offering proceeds deployed. I'm pleased to report that the GIPR team achieved that goal, and we continue to develop a robust investment pipeline in various stages of negotiation and due diligence. Our external growth drives greater efficiency in leveraging our fixed costs, but we must always be mindful of having the right resources in place to support continued growth.  Moving on to our human capital. As you know, our part-time CFO, Rick Russell, and GIPR, decided it was time for the company to have a full-time CFO. Rick has passed the baton to Allison Davies who joined us just a few weeks ago from Regency Centers, a $12 billion shopping center REIT. We are thrilled to welcome Allison to the team.  In her most recent role at Regency, she led a team of approximately 65 employees who work closely with the capital markets, joint venture initiatives, underwriting, as well as with the acquisitions dispositions teams. Allison will pick up where Rick left off and lead the accounting, corporate finance and capital markets functions, working in concert with GIPR's Executive Management team and Board of Directors to establish GIPR as a best-in-class real estate investment trust. We, again, thank Rick for his tremendous support in facilitating a smooth transition as well as all of his other contributions, not at the least obtaining our NASDAQ listing.  In addition to our executive team, we also expanded the skill sets of our Board of Directors by welcoming Gena Cheng as a new Independent Director, and will serve on the governance and compensation committees. With more than 20 years of experience in Real Estate, she has proven expertise in corporate strategy and capital markets. Gina will utilize her extensive Wall Street and private equity industry expertise to help GIPR achieve its long-term goals.  All of these changes are vital to positioning GIPR for future growth. As we move into 2022, our growth strategy remains squarely focused on a multifaceted approach. First and foremost is continued external growth by adding properties to our portfolio through disciplined capital allocation and adhering to our investment principles.  Second is internal growth by increasing cash flows through contractual rent growth and carefully managing expenses while also looking for opportunities to increase any potential revenue sources within our current asset base. Third is what I loosely refer to as infrastructure, attracting and retaining high caliber talent and developing first class internal systems and controls. And most importantly, of course is our stakeholders, as we are focused on expanding our shareholder base.  Our investment strategy is the driving force to differentiating us from others in our industry. The net lease sector certainly remains very active. Last year, the sector saw about $90 billion in transaction volume as reported by the Boulder Group, and yet, the sector remains highly fragmented. Public net lease REITs comprised less than 10% of investors, thus private investors represent the vast majority who we believe rarely perform meaningful underwriting diligence.  Moreover, those investors are often focused on securing long-term income streams and hence, ignore shorter lease duration opportunities. We see this as an incredible opportunity for us to take advantage of a fragmented market by acquiring properties at attractive valuations, because they're often overlooked by the vast majority of net lease owners.  With that, I'm delighted to turn over the call to our new CFO, Allison Davies.
Allison Davies: Thank you, David, for your kind remark. I'm happy to be a part of the GIPR team and excited to work closely with you and the talented and devoted team assembled. Last night, we issued a press release announcing our financial and operating results for the three and 12 months December 31, 2021. Net cash used in and provided by operations for the three months and fiscal year ended December 31, was $321,000 and $149,000, respectively. This was driven by our resilient real estate portfolio with high credit quality tenants.  We believe our tenant base and the well-located real estate assets that comprise our portfolio kept GIPR relatively insulated from shifting economic headwinds and potential impacts from future pandemics. Nothing demonstrates this better than our portfolio's occupancy and rent collections remaining steady at a 100% throughout the COVID 19 crisis and resulting economic slowdown. GIPR ended 2021 with occupancy of a 100% in a weighted average lease term of 5.6 years. We have one lease expiring in ‘22 and none in ‘23. This represents 6% of our current annualized base rent and ending the year with a rent coverage ratio across our portfolio of 5.8x.  In addition, our team is in ongoing lease renewal discussions with our tenant with the upcoming renewal. Net cash generated by financing activities for the 3 and 12 months ended December 31, was $1.7 million and $13.6 million, respectively. This compares favorably to the $496,000 and $256,000 of cash provided by and used in, in the same respective period of last year.  During the year, we focused on enhancing our cost of capital. We may strive toward this goal with our successful underwritten public offering last September, which generated approximately $16.7 million in gross proceeds. In addition, we received $2.1 million in proceeds from the issuance of redeemable non-controlling interest, as well as $4.5 million in mortgage loan borrowing. We also utilized our commitment from American Momentum Bank to fund acquisition activity. Currently, we have $17.5 million remaining.  These financing activities in concert cash flows generated by our real estate portfolio and the $900,000 gain from our Walgreens disposition allowed us to: reduce outstanding mortgage debt by $3.9 million; pay off a $1.1 million related  loan; redeem a $1.2 million redeemable non-controlling interest; and pay our common and operating unit distributions in addition to other corporate activities. GIPR ended the year with $10.6 million in cash and cash equivalent, as well as $29 million of outstanding debt.  With that, I'll turn the call back over to David. 
David Sobelman: Before opening the call for your questions, I want to remind you that the name Generation Income Properties was derived from our ethos of generating income, not just for today, but for the generational long term. It is our philosophy that the multi-generational families benefit from making decisions affecting not only those who begin the legacies, but those that come after. It also has been our goal to be a part of that effort for all stakeholders of GIPR. And we thank you for the confidence you have placed in us for your generations.  With that, operator, please open the call for questions. 
Operator:  Our first question today is coming from Michael Diana from Maxim Group. Your line is now live. 
Michael Diana : Hey, thank you. Dave, you mentioned your pipeline for potential acquisitions is robust. Can you give us some feel for the state of the acquisition market right now in terms of availability what's going on with cap rates? Those sort of things. 
David Sobelman: Good morning, Michael. It's good to hear from you. So multi-part question. What we are seeing is cap rates have compressed, about 100 basis points or so, and that is making it a challenging environment for most investors in today's market.  However, like we noted, our cap rate for our new acquisitions, average cap rate for our new acquisitions, was 7.7%. So, well above what we would consider a market cap rate for credit quality assets in today's market. We feel like our pipeline is robust, like you mentioned, and supportive of our capital requirements. 
Michael Diana : Is there any of your various property types or any of them more active than others in the market -- in the availability? 
David Sobelman: Yeah, we are finding opportunities in the three asset classes in which we target, which are retail, industrial and office. So depending on the market, we focus on those to diversify our portfolio. 
Operator: We’ve reached the end of our question-and-answer session. I'd like to turn the floor back over to David for any further closing remarks.
David Sobelman: We realize this is a crucial time in our company's history and at the threshold of a greater profile. In short, our work is just beginning, and we are focused on creating generational wealth as our company name implies. Thank you for joining us. Have a great weekend. And we look forward to speaking with you again next quarter. 
Operator: Thank you. That does conclude today's teleconference and webcast. You may disconnect your line at this time and have a wonderful day. We thank you for your participation today.